Operator: Good morning, ladies and gentlemen and welcome to the Currency Exchange International First Quarter 2025 Financial Results Conference Call. [Operator Instructions] I would now like to turn the conference call over to Bill Mitoulas, Investor Relations. Please go ahead.
Bill Mitoulas: Thank you, Jamie. Good morning, everyone. Welcome to the Currency Exchange International conference call to discuss the financial results for the first quarter of the 2025 fiscal year. Thanks for joining us. With us today are President and CEO, Randolph Pinna; and Group CFO, Gerhard Barnard. Gerhard will provide an overview of CXI's financial results and his latest perspective on the company's operations. Randolph will then provide his commentary on CXI's strategic initiatives, sales efforts and business activities, after which we'll open it up for your questions. Today's conference call is open to shareholders, prospective shareholders, members of the investment community, including the media. For those of you who may happen to leave our call before its conclusion, please be advised that, this conference call will be recorded and then uploaded to CXI's Investor Relations website page, along with the financial statements and MD&A. Please note that, this conference call will include forward-looking information, which is based on a number of assumptions and actual results could differ materially. Please refer to our financial statements and MD&A reports for more information about the factors that could cause these different results and the assumptions that we have made. With that, I'll turn the call over to Gerhard. Gerhard, please go ahead.
Gerhard Barnard: Thank you, Bill, and thank you everyone for joining today's call. These results are presented in U.S. dollars and my overview of the company CXI will also incorporate the results of our wholly-owned subsidiary, Exchange Bank of Canada. On February 18, 2025, the Group announced its decision to cease the operations of its wholly-owned subsidiary, Exchange Bank of Canada. This strategic decision and operational plan for restructuring were communicated to all staff of Exchange Bank of Canada on February 19, 2025. Following the cessation of operations, the Bank intends to apply to the Minister of Finance in Canada to discontinue from the Banked Act. The voluntary discontinuance is expected to be completed in the fourth quarter of 2025, subject to the receipt of all necessary regulatory approvals. Following the Group's decision, management has commenced implementation of the restructuring and planned discontinuance of the Bank. Information on the bank's discontinuance is based on various assumptions and unknowns. And as a result, management is currently assessing the full financial impact of the discontinuance, and estimate that the exit from Canada may lead to a positive impact on the overall Group results. Now our IT team has recently migrated its core transaction processing and client-facing systems to a modern cloud computing environment, where it will be able to leverage modern scaling and automation capabilities. These initiatives and investments among others, support a more sustainable and efficient future growth of the company. And we're very proud of our IT team's move there. Now let's look at the consolidated performance of the three months ended January 31, 2025, compared to the previous three months ending January 31, 2024. Before we go into detail, I'd like to note that, the company measure and evaluates its performance using a number of financial metrics and measures, some of which do not have standardized meanings under General Accepted Accounting Principles or GAAP and may not be comparable to other companies. We call these measures non-GAAP financial measures or adjusted results. The company's management believe that these measures are more reflective of its operating performance and results and provides a better understanding of management's perspective on the performance. These measures enhance the comparability of our financial performance for the current period with the corresponding period in 2024. Now management included the full reconciliation of the key performance and non-GAAP financial measures in the MD&A. When we refer to reported results, we refer to the financial statements based on IFRS. When we refer to adjusted results, such as adjusted net income, we refer to performance on based non-GAAP measures. Please note that the MD&A starting this quarter, shows detailed segmented reporting for each of the business lines within CXI and EBC. And as promised, our improved reporting from Oracle NetSuite now allows management the required information to do present and comparative reporting in more detail on our business segments. The company reported a net income of $812,000 for the current quarter, compared to net income of roughly $850,000 for the same period last year. The company had 10% revenue growth and 32% net operating income growth, while the net operating income before tax increased 54%. However, net income was lower by 4% than last year, due to the tax impact of the decline share price on stock option awards, during the current quarter as well as the regulatory compliance charges in Canada. Adjusted net income grew by $242,000 or 29% compared to the same period last year to $1.1 million in the current quarter comprising $1.66 million of adjusted net income in the United States and about $572,000 of adjusted loss in Canada. Now this compares to an adjusted net income of $850,000 in the prior quarter, which comprised of $2 million of adjusted net income in the United States and nearly $1.2 million of adjusted net loss in Canada. Adjusted EBITDA and adjusted EBITDA margin percentage for the current period was $3.4 million and 17%, compared to roughly $2.3 million and 13% indicating a positive improvement period over period. The company generated revenue of close to $20 million for the three month period ending January 31, 2025. As mentioned, a 10% increase from the same period in the prior year. The revenue increase over the period was driven by growth in both product lines across the United States and Canada, primarily due to the addition of new customers, improved pricing and an increased demand for investment currencies during the current quarter. The mentioned 10% growth in revenue was primarily due to the growth in the wholesale banknotes business of roughly $1 million, followed by growth in the payments business of $450,000 and direct-to-consumer business growth of $327,000. Revenue in the United States increased by $1.3 million or 9% over last year, while revenue in Canada increased by $512,000 or 13%. Operating expenses increased by $1.1 million or 7%. The company reported net operating income of nearly $3 million in the current quarter, 32% higher than the $2.25 million reported last year as a result of revenue growth surpassing the increase in operating results. The top five currencies by revenue in the quarter were euro, the U.S. dollar, Mexican peso, Iraqi denarii and Canadian dollar. The company's adjusted annualized return on equity or ROE is 12%, the same as the prior period. Now the following is a highlight on revenue by product line for the three months ended January 2025, compared to the previous three months ending January 31, 2024. Revenue and banknotes grew in both wholesale and direct-to-consumer business lines and as I said increased by $1.3 million in the first quarter due to strong consumer demand for foreign currencies, as international travel levels remain strong within the United States. Between November 2024 and January 2025, approximately 215 million travelers passed through TSA checkpoints in the United States airports, 14 million or 7% more compared to last year. Management is closely monitoring travel numbers and the effect of various trade policies and their impact on international growth, economic growth, international travel and the demand for banknotes. Direct-to-consumer banknotes revenue increased by $327,000 or 5% as the company continued to capitalize on its market share through its diversified delivery channels, including the OnlineFX platform, company-owned branches and agent relationships. Growth in the current quarter was primarily driven by OnlineFX revenue, which continued to grow with the company's recent network expansion. During the first quarter of 2025, the company added the state of Nebraska to its network, and the OnlineFX platform can now service 45 states, including the District of Columbia. Four additional states compared to the same time last year. The company owned brands is continue to grow as the new location are maturing and contributed to overall growth over the last year. Overall, direct-to-consumer banknotes revenue remained a growing business with its diversified delivery channels during the current quarter. Direct-to-consumer revenue represented 32% of the total revenue in the current three months, compared to 34% in the prior three months. Now wholesale banknotes revenue increased by $1 million or 12% as business trading volume grew with increased volumes from domestic and international financial institution customers, as well as money services businesses. Overall, also banknotes accounted for 47% of total revenue in the current three months period compared to 45% in the prior period. Now let's focus on revenue in Payments. This product line increased $453,000 or 12% in the three months period ended January 31, 2025, compared to the prior period supported by an increase of 33% in trading volume activity from existing financial institution customers and the onboarding of new customers in both regions. Payments represented a 21% of the total revenue of both current and prior period. Now revenue by geographic location for three months ended January 31, 2025 compared to the previous three months ending January 31, 2024. Let's focus on the United States first. Revenue increased $1.3 million, or 9% compared to the prior period primarily due to growth in both Banknotes and Payments businesses. As I mentioned, wholesale banknotes in the United States grew by $530,000 or 9%, followed by $415,000 or 18% growth in Payments and $327,000 or 5% growth in direct-to-consumer Banknotes. The increase in Wholesale Banknotes was driven by both domestic and international financial institutions customers although majority of the growth was attributed to domestic financial institution customers. Payments revenue continued to grow in the current quarter, as business trading volumes grew 40% over the same period last year, as highlighted previously, which reflected increased activity in both existing and new customers. Direct-to-consumer revenue growth was primarily driven by an increase in customer demand for investment currencies through our OnlineFX platform. Revenue in the United States accounted for 77% of revenue by geographic location in the current quarter, compared to 78% in the previous quarter. Revenue in Canada increased 13% in the first quarter, compared to the prior period, driven by 475% or 19% growth in Banknotes revenue and $38,000 or 3% growth in Payments revenue. The Banknotes business experienced a 27% increase in trading volumes evidenced by significant rise in activity among its Canadian Banknotes clients. Demand for travel currencies increased during the quarter, due to the increased travel levels in Mexico and the Caribbean destinations around the holidays. Further international customer volumes grew due to strengthening of the U.S. dollar. The Payments business had 871 active customers during the first quarter of 2025, compared to 809 active customers in the prior period. Overall, the revenue in Canada represented 23% of the total revenue by geographic location in the current three months compared to roughly 22% in the prior period. As mentioned, the company believes that providing adjusted results enhances comparability with the prior period, and this is true for expenses in the first quarter in EBC. As such, the results for the first quarter were adjusted for third-party advisory cost of roughly $280,000, related to regulatory compliance costs imposed on EBC. These costs were included within our legal and professional fees within operating expenses. During the three months period ended January 31, 2025, the company's operating expenses increased by roughly $1.1 million or 7% compared to the same period last year. Variable cost within operating expenses represented by posting and shipping, bank services, bank service charges, sales commission and incentive compensation totaled $4.3 million in the quarter compared to $4.2 million in the prior period ended January 31, 2025. A slight increase of 3% attributable to shipping cost and banking service charges with both increased commensurate, with the growth in revenue. So if you look at that higher revenue growth, 3% cost growth in shipping and bank charges. The ratio comparing total operating expenses to total revenue for the three months period ended January 31, 2025 improved to 85%, compared to 88% in the previous period. However, when adjusting operating expenses for the non-reoccurring items in Canada, as mentioned, the above operating expenses only grew 5%. The following is a summary of the main operating expenses trending items including for the period. Salaries and benefits expense decreased, when compared to the prior year, mostly driven by a decline in headcount in Canada, as the Group's headcount decreased from 406 to roughly 397 at January 31, 2025. Legal and professional expenses increased primarily due to legal and advisory costs, as mentioned associated with regulatory compliance requirements and discontinuance planning costs. Bank services charges primarily reflects the increase in the number of payments and checks. As we said, the company processed 40,500 payment transactions compared to roughly 30,500 payment transactions in the prior year. Foreign exchange losses and gains represent the net result of foreign exchange of foreign currency exchange transactions, after considering inherent risk in the company's exposure to foreign exchange, thereby minimizing volatility in earnings. Mexican peso volatility was the largest contributor to net foreign exchange losses for the three month period ended January 31, 2025. The prior year was affected by gain [Technical Difficulty] is comparing experience in the current quarter, the amount of $170,000 related to outstanding interest in RSUs awards helped over the client in the stock price. This compares to an expense of [Technical Difficulty] of these two RSUs during the period prior year. So it increased. Interest expense increased the result of an increase in average borrowings utilized by EBC's short-term working capital needs. The average outstanding borrowings for the company amounted to $6.2 million during the first quarter compared to roughly $5.5 million during the same period last year. The average interest rate on borrowing was 8.7%, compared to 8.6% in the prior period. Income tax expense in the current quarter is related to the United States region. It reflects an effective tax rate of 41%, where the majority of the increased expense above the statutory rate of 26.5% was related to a deferred tax asset adjustment or stock options. Due to a decline in the share price during the quarter and this accounted for 11% of the effective tax rate increase. The rate of the increase was related to permanent items as well as other non-deductible differences. [Technical Difficulty] 2025 resulted in an outflow of $7.1 million compared to an inflow of $23.4 million during the prior period. Excluding change in working capital, net flow generated by commission and fee income adjusted for operating expenses was in close of roughly $2.8 million for the three months period versus more or less the same inflow $2.9 million for the prior period. Now let us review the balance sheet. On January 31, 2025, the company had net working capital of $73.6 million almost the same as the prior period. The company had available unused lines of credit amounting to $45.1 million at January 31, 2025 compared to a year-end balance of roughly $45.3 million. That's the unused lines of credit. Now on November 28, 2024, the TSX accepted the company's notice of intention to make another NCIB and automatic share purchase plan to purchase for cancellation a maximum amount of 316,000 common shares of the company, representing 5% of the company's issued and outstanding common shares. Purchases under the NCIB commenced on December 2, 2024 and will terminate on December 1, 2025 for such earlier date in the event that the maximum number of shares sold in the NCIB or buyback has been repurchased. During the three months period for this quarter, the company purchased for cancellation 35,100 common shares at normal market prices trading on the TSX for roughly $562,000. These shares were immediately canceled and removed from treasury by the company. At this time, I would like to turn over the call to Randolph Pinna, our CEO to provide his perspective.
Randolph Pinna: Good morning. Thank you, Gerhard. Thank you, everybody, for joining. As the Group CEO, as you can imagine, I'm very focused on several things. First, of course, is the execution of our discontinued plan or exit plan, as we have called it, as well as ensuring that, the Group continues to operate as best it can this year and most importantly ensuring that, we have the correct structure of CXI along with an updated strategic plan for the years ahead. I'd like to start with EBC. As you've heard, we have made this decision in the second quarter, and there will be more information in our second quarter reporting, as we finish our assessment. The discontinuance or exit plan had us giving notifications to customers and all employees, and we are following that notification process, as we speak for a discontinuance this year. We are seeking a referral agreement for the Banknote business and possibly separately a referral agreement for the Payment business. There are several interested qualified Canadian-based, businesses that are in these advanced discussions. Moving over to CXI. As I said, without a Bank, we are focused on the correct optimal structure of the Group of CXI and the strategy that we will follow going forward. It does, of course, include our number one product, which is Banknotes. As you know, the Banknotes are broken down into two parts of the company, each run by its own Managing Director. The consumer unit, while it had a 5% growth, we see a lot of potential for even bigger growth in the consumer unit, through the online expansion, through company-owned selective stores in key markets, as well as agents. We have several good agent opportunities that are very warm, and we will continue to focus on careful growth within the consumer unit. Wholesale Banknotes as you saw is continuing to grow and our focus with wholesale is remaining with financial institutions in the United States. While we seek to sell banknotes, we've been very successful to also sell the Payment business. Our Payment operations is continuing to improve in its automation as Gerhard mentioned, we've upgraded to a cloud environment for all of our activity here in CXI, which enables us to be even more efficient and scale in with demand. Our payment product line of course is focused on foreign exchange payments, international payments, but we also do process U.S. dollar payments for a fee. And we have spent a lot of time giving you an update. So I just want to go ahead and open it up, give everybody time to answer questions or ask questions so we can answer them. But before I get to the questions, I do want to remind everybody that, our Annual Shareholder Meeting is this March 24th at 3:00 PM at the KPMG headquarters there Downtown Toronto on Bay Street as it has been in years previous. It will be an in-person meeting, as we have done many times, and we hope you can make it by at 3:00. I do ask if you are not there in person to vote that you do find your control number and vote CXI shares online in advance of the annual shareholder meeting. So thank you again for your support and I open up the floor to questions.
Bill Mitoulas: Randolph, if I can make a correction, the AGM is actually on March 25th.
Randolph Pinna: Did I say 24? Sorry, 25.
Operator: And we have a question from Robin Cornwell from Catalyst Research.
Robin Cornwell: Thank you and good morning. I guess the first quick question is, have you seen any impact from the tariff/trade core that's taking over the world in your -- the volume of your currency transactions to date?
Randolph Pinna: We have seen a slight decline in the inbound traffic. We don't know, if it's going to get worse or not. Luckily, it has been offset mostly by an increased outbound. As you may know, the U.S. dollar is quite strong on a global level and flights are quite cheap nowadays. And so, we are seeing a very strong outbound demand, and we have seen a softening to the inbound due to people like in Canada not wanting to come to the States anytime soon, due to the political situation.
Robin Cornwell: Okay. That's interesting. Thank you. The second question is kind of like two parts. The first is that, you reported in 2024 that, your after tax U.S. income was $13.3 million on revenues of about $69 million. That gives me an after tax margin for the year of 19.3%. Now we're kind of skipping over '25 in a way. Are we going into '26 or up to the future, do you expect that kind of a margin on your U.S. operation to continue?
Randolph Pinna: Gerhard?
Gerhard Barnard: Robin, it is very challenging for us to make or confirm any future-looking statements as you know. That would be the comment for us to glare into the future and answer those questions is not okay.
Robin Cornwell: So your business going forward, I guess part of the question is, do you expect, I'm not really clear on how much revenue retention you're going to have on the Canadian business. So if you just took your current revenue generation in Canada, are you expecting to retain any of that business or is it basically all going to be moved off to other providers?
Gerhard Barnard: It is going --
Randolph Pinna: Go ahead, sorry, Gerhard.
Gerhard Barnard: No, we are discontinuing the Bank's activity in Canada and moving most of that revenue over to potential referral agreements.
Robin Cornwell: Okay. That's the clarification I was looking for. And basically going forward in your U.S. operations, you're basically driving the existing business and your new business as Randolph said. So the expectation would be that, it's going to be similar to your history. So I'm talking about margins again, as to there's no anticipation that your margins are going to necessarily decline in the U.S.? That's a question.
Gerhard Barnard: We are focusing on managing cost, driving revenue on a constant basis.
Operator: And your next question is from Peter Rabover from Artko Capital.
Peter Rabover: Good morning. One, I wanted to make a statement first and then I had a couple of questions, but I think I've spoken to a few shareholders and I think there's like a little misunderstanding about the difficulty of the decision that went into making this bank, exit and Canada exit. And I think my statement here is, I would hope shareholders see this as a positive bold move from a management that's able to recognize that a function is not a high return on capital function, and it's time to turn it off and making a bold decision than some sort of bad investment. And I just want to say, I'm frankly very happy that you're doing this. And from my perspective, I think it's a good thing and I hope the other shareholders see it as well. So one of my questions is one is for Randolph. I would just love to hear your thoughts about how this will improve return on capital? And then, for Gerhard, what is the current balance of the inter-company loan that would be potentially received in an affiliate transaction at this point? I'd love to hear both of us.
Randolph Pinna: Absolutely, we feel that the stopping to use what my father says, stop the bleeding, because he's a medical doctor, will be beneficial to the Group, not only just from a cash flow point of view of having those losses every year go away. But more importantly, it allows CXI to be 100% focused on the big opportunities that we see in the United States. And for me as a leader, it will allow me to be more focused on strategic growth and allowing the management team to focus on the efficiency and the continued sales growth as we anticipate. I'll turn it over to Gerhard for the technical question. I'm not sure that, loan account goes up and down on a daily basis, but I'll see.
Peter Rabover: Yes. I'd just like to say, I'd just like for the -- to hear what the number is right now.
Gerhard Barnard: Peter, the number that we report in our financial statements or let me say in our [indiscernible], as Randolph said ranges between $10 million and $15 million on any given day.
Peter Rabover: Okay. That's honestly what do you think your expectation in shutting down or either like or in a transaction that, whatever way you're thinking about it, that there will be a potential to realize this out?
Gerhard Barnard: What I can tell you is at the January 31, 2025, the inter-company loan balance as reported was $16 million.
Peter Rabover: You know what, thank you. I really appreciate you telling me this number and I'll jump back to the queue and again tough decision and I'm glad you guys are making it. Have a nice day.
Operator: And your next question is from Mark Rose with Private Investor.
Unidentified Analyst: Hi, good morning. I think my last question concerning the $16 million was kind of answered, but I suppose the follow-on would be with that additional capital becoming available, is there attention to maybe increase the NCIB from 5% to 10%, possibly a substantial issue of bid? And I guess for the last few quarters, you've discussed a couple of M&A targets being kind of more advanced. Is there something more near-term or how do you view M&A right now?
Randolph Pinna: The CFO, Gerhard and I, are always looking at opportunities. We have been identified a few opportunities both in Banknotes and in Payments, but there is nothing in advanced stage, nothing to be reported at this time. But yes, the capital and the fact that, we don't have to keep lending money to EBC will provide additional capital for transactions like that or potentially an increased share buyback, which I personally am in favor of. However, we do have to weigh the balance of that purchase versus the potential capital needs of a good transaction. So that is a discussion the Board and the senior management have every quarter. And so, we are assessing the best use of the capital to ensure the highest return of capital employed for our shareholders.
Gerhard Barnard: Yes. And maybe just to --
Unidentified Analyst: Sorry. Go ahead.
Gerhard Barnard: I think it's important to note that, we are currently in a blackout and we could due to referral agreements and so forth remain in a blackout. And during this period according to the TSX, we're allowed to purchase 1,000 shares on the buyback or the NCIB on a daily basis. We're not allowed to do any block purchases while in blackout. So, as Randolph said, these are subject to the TSX, the board and certain financial covenant requirements that we have.
Operator: Your next question is from Yale Bock from YH&C Investment.
Yale Bock: Good morning, guys. We ended up -- you scared me when you with the wrong date as we're headed up there.
Randolph Pinna: Sorry about that.
Yale Bock: No worries. Just a few questions. Number one, could you confirm that the supply agreement at Vegas International Airport that's existing. I noticed that the affiliate there is open. And then, another question would be the situation in the Orlando Airport, they're opening up -- you mentioned they, might be opening up a second level and where that stands? And then, the final one quickly, have you all thought about an online offering internationally, given where things are headed with your online offering domestically?
Randolph Pinna: Thank you. I appreciate all the consumer division questions. I know you're in Las Vegas, so that airport is geared to you. I confirm that the Change Group, which is a Europe-based company, but in the States they're based in New York. We are their exclusive vendor for the United States in doing their operations in New York City and their newest location there at the Las Vegas Airport. So, yes, I'm glad they finally opened and we are their wholesale operator, their wholesale vendor. The other question is, we do operate currently in the Orlando Airport and the new Terminal C is of consideration. This is the only company-owned airport op location that we have and we are assessing it. It is very different than our usual retail stores, which are often in shopping malls, which provide, in my opinion, a better environment to do currency exchange and especially with less overhead because the airport takes a very large chunk of it, but that is being assessed. But no, we don't have a contract to open in the Terminal C, the new terminal in Orlando, but it is on our radar. And then lastly, our online offering is U.S. only. I've been asked this very clearly, and I think it was Robin Cornwell at the start was kind of wondering if CXI will be servicing some of the customers in Canada, and we have made a conscious decision not to be doing any business in Canada at all, thereby our full discontinuance. And so our online offering will remain to the states that right now we're in 45 states in D.C. and we are -- each state must have a business case to support why we will increase our costs to open in that state. So our online offering will remain in the U.S. We are looking at -- we're ready to team up with other online operators through an agent model. And so we do see significant growth ahead in our consumer unit. As I said in my little speech there was our own stores. We found some great spots. And then, again, these agents in our online and online could include an agent relationship. Did that answer your question, Yale?
Yale Bock: Yes. So as a follow-up, I should also ask how is the traction with some of the new partnerships that you announced, I think you -- there's a big related to the cruise industry and then a couple of smaller travel agents, but you just asked about the traction there.
Randolph Pinna: Yes. We are -- again, that is where we are even getting more focus in these agent relationships. We have not had success yet with the cruise ship industry. But the Head of Sales, Chris Johnson is very aware of our focus on continuing to grow bank notes and payments. And so bank notes could include a cruise ship, could include grocery stores, it could include a major theme park here in Orlando. And so we are not restricting ourselves of the opportunities for banknotes or payments in the United States. That's exactly the -- what Peter was -- Randolph was saying is now that we're focused 100% on the U.S., we can even do a better job dominating the marketplace.
Operator: There are no further questions at this time. Please proceed.
Randolph Pinna: Again, thank you all for your time. I know some of you out west, it's quite early. So we appreciate you getting up and following and keeping up with us, you’ve had questions that we can answer. We're happy to do any follow-up calls to this. But I look forward for as many of you in person, on the 25th in Toronto at our Annual Shareholder Meeting. So thank you again, and I look forward to talking to you soon.
Gerhard Barnard: Have a good day. Bye-bye.
Operator: Thank you. Ladies and gentlemen, the conference has now ended. Thank you all for joining. You may all disconnect your lines.